Operator: Good morning. And welcome to United Airlines Holdings Earnings Conference Call for the First Quarter 2024. My name is Krista, and I will be your conference facilitator today. Following the initial remarks from management, we will open the lines for questions [Operator Instructions]. This call is being recorded and is copyrighted. Please note that no portion of the call may be recorded, transcribed or rebroadcast without the company's permission. Your participation implies your consent to our recording of this call. If you do not agree with these terms, simply drop off the line. I will now turn the presentation over to your host for today's call, Kristina Edwards, Managing Director of Investor Relations. Please go ahead.
Kristina Edwards: Thank you, Krista. Good morning, everyone. And welcome to United's first quarter 2024 earnings conference call. Yesterday, we issued our earnings release, which is available on our Web site at ir.united.com. Information in yesterday's release and the remarks made during this conference call may contain forward-looking statements, which represent the company's current expectations or beliefs concerning future events and financial performance. All forward-looking statements are based upon information currently available to the company. A number of factors could cause actual results to differ materially from our current expectations. Please refer to our earnings release, Form 10-K and 10-Q and other reports filed with the SEC by United Airlines Holdings and United Airlines for a more thorough description of these factors. Unless otherwise noted, we will be discussing our financial metrics on a non-GAAP basis on this call. Please refer to the related definitions and reconciliations in our press release. For a reconciliation of these non-GAAP measures to the most directly comparable GAAP measures, please refer to the tables at the end of our release. Joining us on the call today to discuss our results and outlook are our Chief Executive Officer, Scott Kirby; President, Brett Hart; Executive Vice President and Chief Commercial Officer, Andrew Nocella; and Executive Vice President and Chief Financial Officer, Mike Leskinen. In addition, we have other members of the executive team on the line available to assist with the Q&A. And now, I'd like to turn the call over to Scott.
Scott Kirby: Thanks Kristina. And good morning to everyone on the call today. Before we dive into our Q1 earnings performance, I want to start by talking about the issue that always comes first at United, safety. Safety is the fundamental pillar of our core for net safe, caring, dependable and efficient, and in that order. Safety is at the core of everything we do at our airline to make United a success. As you've read, the FAA recently began evaluating several elements of our operations to ensure we're doing all we can to drive safety compliance. We welcome the FAA's engagement and we are embracing this review as an opportunity to take our safety culture standards to an even higher level. As we undergo this review, I have confidence that first we have a strong foundation and a culture of safety here at United, including training, systems, processes and reporting culture, and that's backed up by our strong track record and success of our safety protocols. Second, through the FAA review, I'm confident that we will uncover opportunities to make our airline even safer. At United, we have the best team of airline professionals in the world and we're committed to embracing this opportunity to make the best airline in the world even better for our customers and employees. Now to our Q1 earnings. We delivered a strong first quarter and it's clear the United’s Next plan continues to put our airline on a bright path. Notably, we saw meaningful year-over-year margin improvement in the first quarter, and if the Boeing MAX 9 hadn't been grounded, we would've been profitable for the quarter. Our United Next plan continued to demonstrate resilience and challenging industry conditions as we faced further significant aircraft delivery delays. These delays are driving temporarily higher costs this year but we've been able to find ways to offset most of those headwinds. On demand, we see continued positive momentum and bookings across all customer segments from the most price sensitive customers to domestic road warriors and up to the premium global customer. Our cost management and clear demand for the United product continue to support our confidence in the United Next strategy in full year 2024 EPS of $9 to $11. In conclusion, I'm proud of the United team for delivering top tier operational and financial results. Thank you for all the work you do that makes us the airline that customers choose to fly. And with that, I'll hand it over to Brett.
Brett Hart: Thank you, Scott, and good morning. I'd like to thank our employees for their hard work this quarter as we navigated through the grounding of the Boeing MAX 9 fleet. We recovered well and got our customers to their destinations with limited disruption. As Scott mentioned, together with the FAA, we have begun an in-depth review of our processes and procedures. These reviews are being taken very seriously and we will see this as an opportunity to further strengthen our commitment to safety. As we work through this safety review with the FAA, certain certifications will be delayed. As a result of this, we expect a small number of aircraft scheduled for delivery in the second quarter to be delayed. We expect this to have a minimal impact to our 2024 capacity plans. I am confident that we will be able to successfully look back on this review process, resulting in an even better airline for our customers, employees and shareholders. On the employee front, we reached a tentative agreement with the IBT for a four year extension to their existing contract. We expect to hear if it is ratified by their membership in the next few days. Taking a look at our operation. In the first quarter, we delivered top-tier service to our customers. We had our second best on-time departure performance in the first quarter in our history excluding pandemic years. This resulted in being second in the industry in on-time departures for the seventh month in a row. Additionally, our widebody operation had the company's best on-time performance since the pandemic. We accomplished all of this while having the price seat factor for any first quarter in our history. This is a great testament to the hard work of our team. In addition to strong operational performance, we also continue to make customer enhancements that have driven up our Net Promoter Scores. Some of these include continuing to retrofit our existing mainline fleet with signature interiors that feature larger overhead bins, in-flight entertainment and every seat back and Bluetooth connectivity. Signature interior aircraft were 9 points higher an on-time NPS compared to the rest of the narrow-body fleet. And we are on track for 50% of our North America fleet that have signature interiors by the end of the year. We were the first US airline to offer MileagePlus pooling, allowing customers to share and use miles with their friends and families. We've also partnered with the TSA to launch TSA PreCheck Touchless ID at O'Hare and LAX, which uses biometrics to enable customers to pass through the TSA line faster and without having to pull out their ID. Running a reliable operation and enhancing the customer experience continues to differentiate United. These encouraging operational results and improved Net Promoter Scores combined with our focus on safety by creating strong momentum for the rest of 2024. I will now turn it over to Andrew to talk about the revenue environment.
Andrew Nocella: Thanks, Brett. United's revenue and financial performance will be top tier in Q1. And as Scott and Brett mentioned, we also had strong operational results. Without the ground into the MAX 9, we clearly would have produced a profit in the quarter. Looking back at 2023, we did have a great year, particularly in Q2 and Q3. However, United's relative financial performance in Q1 of 2023 did not meet our expectations. Improving United's absolute and relative Q1 margin is something we're very focused on to achieve our long term financial targets. Q1 has always been our most challenged quarter financially. Post pandemic Q1 seasonality worsened due to decreases in corporate business. For the first quarter of 2024, we took the lessons from 2023 and carefully refined our commercial plan with encouraging results. A few of our domestic capacity changes in Q1 included Florida capacity increased 20% with financial results well above our system average. Las Vegas capacity increased 7%, again, with strong financial results. Margins on off-peak early AM and late PM flights improved by 12 points year-over-year and margins on off-peak days improved by 11 points, driven by United changes and industry changes. In making these changes to how we deploy capacity in Q1, we sacrificed about 1 point of narrowbody utilization year-over-year. But in exchange, we offered a schedule that was more attractive to passengers with better departure and arrival times and more profitable for United, lower utilization also enhanced our reliability. We believe our Q1 2024 results set United up for producing profitable first quarters in the upcoming years and show our agility on adjusting our plan to meet new challenges. Turning to our overall revenue performance in the first quarter. Revenue increased 9.7% on 9.1% more capacity. Consolidated TRASM was up 0.6% and PRASM was up 1%. Domestic PRASM increased 6.1%, which we expect to be industry leading year-over-year while international PRASM was down 4.2%. Domestic revenue results were also well above our expectations on strong demand and did help offset lower RASM year-over-year from global flying and Latin America. United's domestic RASM gains since 2019 lead the industry even with United having the largest increase in aircraft gauge of any US airline. United's domestic network has been starved of gauge historically. I think our domestic RASM results in Q1 yet again showed that not all industry capacity is created equally, considering the marginal RASM performance of growth ASMs at other airlines versus United. Cargo revenue decreased 1.8% year-over-year and we're hopeful that this is the last year-over-year decline we'll see in the near term. MileagePlus had another strong quarter with revenue up 15%. United's premier frequent flyer new members are more engaged than ever by flying and using one of our co-brand credit cards. Managed corporate travel in Q1 was up 14% year-over-year. Yields for managed travel will be faster than non-managed travel due to stronger close-in pricing and refined discounting guidelines. The strength of the business traffic rebound is a nice development for an airline like United. Latin American PRASM was down 12.7%. Weakness was felt in near Latin America markets for the most part versus South America. We are pleased with our capacity growth across Pacific where capacity was up 66% and PRASM was down 12.9%. However, we do plan to make capacity adjustments to a small number of underperforming routes later this year. Q1 performance for United's Atlantic line was up with strong PRASM 11% up. We saw a material rebound in London where Polaris revenues were up 8% on 11% less capacity. We saw weakness to Germany offset by strengths in Southern Europe and Africa where we increased capacity. United's efforts to build our brand in premium product choices while reducing customer friction is having a noticeable positive impact on our results as we gain share across the network for leisure and business travelers. For our road warrior or frequent flyer business customers, United elimination of change fees, the functionality of our app to manage their entire travel experience, improvements to MileagePlus and the steady increase in United Club facilities has resulted in improving share. However, we cannot understate the importance of the elimination of change fees, which is a game changer for how people feel about United. United's focus on premium products has matched well with increased consumer demand for our premium seat choices. We believe this focus has diversified and made our revenues less cyclical in the long run. Premium passenger revenue mix improved 1.9 points versus Q1 2023 and 3 points versus Q1 2019. In other words, we're seeing near-term acceleration. Premium revenues were up 14% year-over-year on 10% more capacity and we estimate that United's premium revenue streams lead the industry. While our largest focus is on growing premium revenues, we also believe our rollout of Basic Economy is a critical competitive tool and important to attracting customers of all types in our core geography. Basic Economy sales trends in Q1 were up 35% year-over-year. Basic has clearly changed our competitive stance versus the ULCCs. Larger narrowbody jets are also increasing United’s gates faster with more premium seats than any other US airline. We are absorbing this gauge increase well, which can be easily measured in our continued domestic RASM growth relative to others. We continue to plan for further gauge growth between 2025 and 2027 with our expanded MAX 9 and A321 fleet. Other product innovations are planned with the goal of increasing choice for customers, expanding premium revenue streams and segmenting demand. United’s gauge growth will also create further cost convergence. More importantly, gauge growth provides consumers a wide range of premium seat choices that they want and that we have proven we can monetize. For Q2, we continue to see strong domestic and Atlantic demand with positive RASM results tempered by the Pacific where we expect a negative result year-over-year. We also expect Latin America will have a materially negative PRASM result year-over-year in the quarter. As we think about the second half of 2024, we do like the macro setup, particularly for domestic capacity where we think we can continue RASM growth above industry average. We are focused on building connectivity in our core non-coastal hubs in 2024 with both new mainline jets and with enhanced RJ capabilities. With that, I want to congratulate the entire United team on a job well done and turn over the call to Mike to discuss our financial results and updated fleet plan. Mike?
Mike Leskinen: Thanks, Andrew. And thank you to the United team for the tremendous effort as we work through the grounding of the Boeing MAX 9 fleet and entered the peak spring break travel season. In the first quarter, we produced pretax loss of $79 million, a $187 million improvement over the first quarter of last year. Our loss per share of $0.15 was better than our guidance and well ahead of consensus expectations, driven by both strong revenue results and disciplined expense management. The grounding of the Boeing MAX 9 fleet negatively impacted our earnings by more than $200 million and without it, we would have had a profitable quarter. We also generated $1.5 billion in free cash flow and our adjusted net debt to EBITDAR of 2.7 times is back to pre-pandemic levels. These are strong results in what is our seasonally weakest quarter and they provide another proof point that our United. Next plan is working. Before I turn to the outlook, I'd like to address the changes we made with Boeing and Airbus, to optimize the delivery skyline. Boeing's repeated delivery delays had created an impractical bow wave of aircraft deliveries that both United to address, and we have. In 2024, we now expect to take delivery of 61 narrowbody aircraft and five widebody aircraft. This compares to our contractual deliveries of 183 narrowbody aircraft at year-end and the 101 aircraft we were planning for at the start of the year. Due to these fleet changes, we now expect full year 2024 total capital expenditures to be approximately $6.5 billion, down from $9 billion at the start of the year. We've also made changes to level out our fleet plan for 2025 through 2027. This modified fleet plan allows us to execute on our long-term goals while also smoothing out the pace of deliveries and our annual CapEx spend. We've converted a near term portion of our MAX 10 deliveries scheduled through 2027 into MAX 9s. Additionally, we have signed letters of intent to lease 35 new Airbus A321neos with CFM engines scheduled for delivery in 2026 and 2027. With these changes, we now anticipate taking delivery of approximately 100 narrowbody aircraft on average each year during this three-year period. This delivery schedule provides fleet renewal, steady growth and addresses the bow wave of aircraft delivery delays that had been building. These changes bring our total adjusted capital expenditures in 2025 through 2027 to the $7 billion to $9 billion range in each of those years. Balancing our United Next growth plan and managing the business towards positive free cash flow remain top priorities. And with the rebalanced skyline, we are targeting positive and growing free cash flow over the next three years. While we will provide an updated long-term earnings target later this year, we are confident we are on a path to higher earnings, better margins and materially stronger free cash conversion. Now turning to costs. Unit costs trended as expected during the quarter and were up 4.7% year-over-year on 9.1% capacity growth. As I mentioned, it was challenging to re-optimize our expenses with the uncertainty created by the MAX grounding and continued delays to our aircraft deliveries. While our underlying costs are consistent with our forecast at the beginning of the year, it's important to understand that the continued reduction in capacity from delivery delays will continue to temporarily pressure our CASM-ex for all of 2024. As we entered the year we built a business plan for a larger airline, and deliveries have fallen more than 40 aircraft short of our expectations. We continue to incur most of the expenses as we hired for that capacity despite flying fewer ASMs and it is driving almost a point of CASM-ex pressure. We are working diligently to reduce these costs as much as possible and our higher completion factor has helped offset some of it. For the second quarter, we expect CASM-ex to be similar on a year-over-year basis versus the first quarter. Given our expectation for costs and our current outlook for revenue and fuel, we expect second quarter earnings per share to be between $3.75 and $4.25. We have great momentum. Our United Next plan is working and the future for United and our industry has never looked brighter. Our margins are already near the top of the industry and we still have significant and unique network and gauge opportunities in front of us. United has never been in a stronger competitive position. We have developed a wide variety of products that are compelling to a wide variety of customers. And as a result, they are increasingly choosing to fly United. I remain excited about our future and believe we're firmly on track to deliver $9 to $11 in earnings per share this year. With that, I'll pass it over to Kristina to start the Q&A.
Kristina Edwards: Thanks, Mike. We will now take questions from the analyst community. Please limit yourself to one question and if needed, one follow-up question. Krista, please describe the procedure to ask a question.
Operator: [Operator Instructions] Your first question comes from the line of Andrew Didora from Bank of America.
Andrew Didora: I guess first one is for Mike or Scott. I guess, with your new CapEx forecast that I'm sure are not yet set in stone given there are a lot of moving parts here. It certainly implies much more consistent free cash flow generation over the next few years. How are you thinking about maybe deploying that capital, where do you see the best fit for that going forward?
Mike Leskinen: I'll take that question. Andrew, as I said in my prepared remarks, our net leverage is currently 2.7 times -- our net leverage is 2.7 times, which puts us back in the range of pre-pandemic levels. In fact, in 2019, we were at 2.5 times, in 2018, we're at 3 times. As we look at the path forward, I expect to see continued deleveraging. We also have -- we also still have some high coupon debt outstanding. A piece of our MileagePlus debt, $1.8 billion becomes prepayable in July, that debt is still yielding over 10%. So that will be my near-term priority is to take care of that debt. After that, with the -- on our way to investment grade credit metrics, we're going to have a tremendous amount of flexibility and we'll revisit other uses of free cash at that time. But you're going to have to stay tuned.
Andrew Didora: Just a follow-up question for Andrew. Just on the corporate commentary and the strong transatlantic, I know you cited Heathrow in your prepared remarks. Should we read into that, that corporate was a big driver of the results in 1Q on transatlantic, or any other call-outs that you would have just to get a sense for what's driving the outperformance there?
Andrew Nocella: As I said, I mean, corporate was strong across the board, not just in London Heathrow to be clear. We saw strength domestically and around the globe. So it's great to see. We saw, I think, nine of our top 10 corporate booking days this year in our history, which is also really strong. So really across the board. The strongest industries are professional services, tech and industrials, but every -- I think just about every sector was up in the numbers this year. And I just think it reflects on where that's going. And as I said in my earlier script, Q1 corporate is really important to us. And the fact that Q1 is gaining strength, corporate is really very good for our outlook for future Q1s.
Operator: Your next question comes from the line of Sheila Kahyaoglu from Jefferies.
Sheila Kahyaoglu: I wanted to ask domestic PRASM up 6% year-over-year in Q1 was double that of one of your peers that have reported so far. Curious how you would attribute that to the strong performance across the Mid-Con restoration, corporate, share gains in either premium or basic? You've touched upon that a little bit. But then maybe as a follow-up as well, how are you thinking about that sustaining domestic unit revenues here with industry capacity?
Scott Kirby: I'm going to start it and then turn it to Andrew for the more tactical answer, but I'm going to take a bigger picture, I think, more strategic approach to the question. And I'd start by saying, we've been at least trying to tell you over the last several years, how we thought the industry was developing the strategy behind United Next, and since everything that we've said and that has worked, but it hasn't resonated. So I'm going to try a different approach today. And really what is happening and there's a couple of airlines that have what I'm describing. But what has happened is we have -- the industry has structurally changed and United and at least one other have essentially a moat around our business now that never uses it before. The moat, by the way, to be clear, is a moat that is based on having a better proposition for customers. We have a better product, we have a better network, we have a better loyalty program and they choose to fly us. And what makes it unique? Other airlines can have a piece of that, but what makes a couple of airlines unique is we have great products, we have great service, we have a global network, it's hard to replicate. We can get you to Singapore, two destinations in New Zealand, three in Australia, Cape Town, Marrakesh, [indiscernible] Paris and hundreds more. And we also have a great loyalty program, and the ability to go to the exciting aspirational destinations causes people to want to be a part of the program. And it's really sticky when you're doing it well and you are doing it right. But in the past, that moat was breached in two ways, two significant ways. One, there are a large segment of customers for whom change fees, trumps everything else, particularly small business travelers, what I call domestic road warriors. And when we had change fees and we had a large competitor that didn't they would choose that large competitor. Even though all of our advantages may have existed, the change fees trumpet. It turns out that segment of the traveling public appears to be even larger than I appreciated. And we're now winning them because our natural advantages win. So we've closed off that breach. The second breach that we had was for price sensitive customers who want a disaggregated price, and that took us time to repair that and to address that and to create a product for those customers. But there's two things that we had to do. One, we had to create a great Basic Economy product, which we've done. But secondly and maybe more importantly, we had to have higher gauge. We had to be able to sell those seats profitably and in meaningful numbers in order to make that product real and make that competitive and to seal up that breach. And we have now done those two things. That is a huge part of what United Next was about. And those are structural changes. The moat that I described where we have great service, we also have a great global network, which leads to a great loyalty program is structural and it is permanent. And to your point about is this temporary or is it going to go on for? This is the new normal. There's a couple of airlines that are in this category, we're the highest margin airlines now. That is going to be the case going forward, because this was a structural change, no longer theoretical, this has happened. Andrew?
Andrew Nocella: Well, it's hard to follow that. I mean, on the tactics, the one that I would bring up at a very high level would be, we went into the quarter not trying to maximize aircraft utilization, particularly in seasonally Q1, which is weaker. We went in trying to maximize our profitability and I think it works. And I'm really proud of the team for all the changes we made across the network because I think they're incredibly effective.
Operator: Your next question comes from the line of Conor Cunningham from Melius Research.
Conor Cunningham: Just going back to the comment on you taking advantage of the number of opportunities in the US domestic market. Can you just maybe elaborate a little bit more on that? You talked a little bit about Florida and Las Vegas. Is there any learnings that you have that you go into peak season or is it more of just a shoulder comment as you kind of take advantage of some of the other issues that some of the other carriers are dealing with in general?
Andrew Nocella: Well, as Scott said, the United Next vision here goes across all quarters. But in Q1, we definitely did see a lot of opportunity to continue to take advantage of things that were in our control. And within our control is the ability to continue to pivot the airline to more sunshine type markets like Florida and the Caribbean, and we did so, I think, with great success. In Las Vegas, we put in that category as well that our capacity deployed there was incredibly effective. The other thing is we knew off-peak periods in Q1, it's not a time to max by utilization. And we took this opportunity to reschedule the airline to make sure that we were not offering unproductive capacity, and I think that worked very effectively. Below all that or above all that, how you look at it, was just the core building of connectivity across our hubs. It's working exactly as we intended to do. We still have ways to go on this front. It will be 2026 or 2027 before the connectivity reaches, I think, our desired levels. And so we're pretty bullish on our ability to continue to outpace domestic RASM growth offered up by or competitors.
Conor Cunningham: Maybe actually sticking with that specifically. I get the fact that you and Delta have distanced yourself from some of your competitors, and that's pretty obvious at this point, I think. And just -- but your performance relative to Delta sticks out pretty meaningfully. And I was just -- maybe you could just elaborate a little bit more on what's uniquely United, because when I think about it, I think that you have a more -- a bigger opportunity on premium. You talk a lot about upgauging, but a lot of that has to do with fleet delivery. So I'm just trying to understand on how you kind of close the gap or continue to separate yourself, I should say, from the peers this year?
Andrew Nocella: We continue to drive the United Next strategy. And you're absolutely correct, the aircraft that we'll take delivery of come with a lot more premium seat options. Our premium mix this year is up 1.1 points year-over-year in terms of revenue, which is, I think, a very significant change in a very short period of time. And we are going to continue to push that, but we're also going to continue to push Basic Economy. So our premium mix is up, while our Basic Economy is up and that's exactly the kind of the recipe we're looking for in our diversified revenue streams. And briefly on the global network, it's second to none. It's number one across the Atlantic and number one across the Pacific. And the changes we've made have just been, I think, pretty productive and efficient and accretive, and there's actually quite a bit of more of that to come. So I don't know if that exactly answers your question. But the outlook, I think, is very bright. The premium revenue strategy is working incredibly effectively and we're going to continue to push it and we think there's more room to close that gap.
Operator: Your next question comes from the line of Jamie Baker from JPMorgan.
Jamie Baker: First one, probably for Andrew. So I've been following this Polaris press for champagne topic on social media. And I'll admit, in all seriousness, as an analyst, I'm intrigued by the notion of potentially unbundling the forward cabin. The evolution in economy is well chronicled at this point, but we haven't seen much change upfront. You had the -- the passenger that books last pays the most, but has the same experience as the passenger of the books early and pay the least, the way it used to be in economy. Is this something I should even be thinking about or is it a waste of my time?
Andrew Nocella: I won't dictate how you use your time, Jamie. But…
Scott Kirby: I heard they delete TikTok…
Jamie Baker: Well, that wasn't the point…
Andrew Nocella: What I would say is we continue to believe that there's ways to further diversify our revenue streams and segment them. And we continue to believe that there is more opportunity for premium products that we don't have on board the aircraft today. And those incremental premium products, I'm not going to announce it today, but I can tell you, you have many teams of people work on how to further innovate and provide more and more choice and to monetize that choice on our behalf, obviously, in the future. So I think that headline was just a hint more to come and a lot of people working hard at United to make sure that we can differentiate ourselves not only from our US competitors, but many of our competitors around the globe.
Jamie Baker: And then second, and whoever wants to take this, but when you initially introduced United Next and its growth plan, aircraft were being delivered on time, the discount model wasn't impaired domestically. So it was pretty easy for us to map out how your capacity share would ramp over time. Obviously, everything has changed since that. My question is on a relative basis to the US industry, so considering these constraints on capacity. Does the new fleet plan keep your relative position on track with the United Next plan? It actually seems to me like you might be somewhat ahead of the plan on market share, but there are quite a few OA assumptions that I have to make there.
Andrew Nocella: There's a lot of moving pieces. So I'm not going to specifically answer the question. Our market share across every single one of our hubs is obviously improving and improving quicker than our capacity this year. This year, we're domestically, I think the next six months are growing less than our competitors, it's TBD on what our competitors are going to do. But we're focused on delivering the United Next plan we've created and all the value that's being generated from that. And our coastal hubs are the second to none as we've talked about a million times. But getting our core Mid-Continent hubs up to their critical connectivity levels is a big, big focus and it’s just paying back dividends left and right, and we think it will continue to do so. What exactly our competitors do, I just don't know. We will continue to face struggles on the delivery schemes from Boeing and Airbus. But hopefully, as Michael talked about, we've built in the appropriate insurance plans for all of that. So you can say better on plan…
Jamie Baker: But suffice to say, you haven't fallen behind on a relative basis to the industry?
Andrew Nocella: It depends on what you're measuring. If you're measuring market share in our hubs, absolutely not.
Mike Leskinen: Jamie, I'd encourage you to measure profitability and our relative profitability, that's certainly what we're focused on here in United.
Operator: Your next question comes from the line of Ravi Shanker from Morgan Stanley.
Ravi Shanker: So speaking of TikTok, Scott, your industry commentary is usually very insightful. So I'd love your thoughts on the current headline risk to the industry from the incidents that may be out there. Kind of is this just a social media [indiscernible] or is it a pandemic hangover thing, is the lack of new aircraft thing, is the labor thing? What's your view on how the industry is going to assure its customers that flying is as safe it’s going to be?
Scott Kirby: Well, safety is the number one priority at United, but I also know it is the number one priority at all of our US competitors. This is one of the places where we don't compete. And one of the actually reasons that aviation is not just the safest way to travel, it is by far, the orders of magnitude better than other forms of travel. And one of the reasons is because -- and in safety, we share data with each other, we share all the incidents and events that happen and we learn from each other and that's what makes us so strong. I also know at United, we have a great foundation, a leading foundation and we're proud of it, of our training, our systems, our process and our reporting culture. But it's also true that there was -- while they were unrelated, a cluster of several high-profile events that have happened at United and in the industry. And I think that is an opportunity for us to take what is already -- to step back and take what is already a very high standard of safety and find ways to make it even higher. That's why certainly at United, we're embracing this as an opportunity. There are already a lot of things we've done but there are going to be more that we do, embracing this as truly an opportunity to take the already high standards to an even higher level, and I'm confident that we will do that. We can do that while running a great airline for our customers, for our employees and for our shareholders. We can do all those things at the same time and we'll come out even better on the other side, not just at United but for the whole industry.
Ravi Shanker: And maybe as a follow-up, the pooling miles is a very interesting idea. Can you just unpack that a little bit kind of what may be launched at this time, kind of what are some of the cost or revenue implications thereof? And what do you think some of the benefits might be to United and our customers as you roll that out?
Andrew Nocella: Well, we're always trying to make MileagePlus miles more useful for our members so they can enjoy the benefits. And there are a number of members that alone couldn't get that trip to Tahiti or wherever they're trying to go and the pooling option allows them a better chance of doing that. I think it comes at a minimal no cost to United but it definitely enhances the value of the program. It's, I think, pretty unique among the largest airlines and we look forward to seeing how it goes. So we urge you to pull your family members and see what you can do.
Operator: Your next question comes from the line of Duane Pfenningwerth from Evercore ISI.
Duane Pfenningwerth: Just on the longer term CapEx, certainly appreciate you have to have a plan at a point in time based on the facts available. But how do you think about the path to a pickup in deliveries required to hit that 2025 and beyond, what are the dependencies in your mind? And I guess, what are the odds we enter 2025 the same way we did this year with that 100 or so more of a placeholder than a realistic target?
Mike Leskinen: And I do want to kick off the question by reiterating how important generating free cash over the long term is to us here at United and we understand too our shareholders. So that is something we are balancing. We gave you a range for CapEx of $7 billion to $9 billion. We gave you a range because it's an acknowledgment that there's some uncertainty around the OEM delivery schedules and production rates. We also are managing this business to maximize profitability. And so make no mistake, we'll manage our deliveries as well in a way that captures the macroeconomic environment at the time. In three years, a lot can happen in three years. As I think about uncertainty for '25 and '26 in a stable macro economy, 787 production rates can -- Boeing continue to increase rates, that's going to be really critical also for the 737 line, are they able to increase production rates. So we'll watch that closely. I want to be clear that what we are giving is our expectation. Our expectation builds in some hedge that production rates don't increase at the rate that Boeing hopes. There is -- so there's upside risk and downside risk to CapEx as a result. I think we're going to be managing that $7 billion to $9 billion range, and that's why we wanted to share that with all of you today.
Duane Pfenningwerth: And then maybe just a quick one for Andrew. And I've asked this before, I'm sorry if it's a little waste of time. But on international inbound or maybe a different way to say it, ex-US point of sale, where does that stand today? And as you think about your entities or geographies, are any of those starting to pick back up in terms of ex-US point of sale, are you seeing any inflections?
Andrew Nocella: I would say, yes, we are seeing progress. The one place we look to the most is Germany and core Europe, and that's still trails. So hopefully, that will continue to move forward. But I think we're seeing really progress across the whole globe on rebalancing and being a little bit less dependent on the US consumer to drive the global network.
Operator: Your next question comes from the line of Savi Syth from Raymond James.
Savi Syth: I was just wondering on that 100 narrowbody aircraft per year. Just what's the thought on the mix of growth versus replacement? And I guess, asked another way, I appreciate, Mike, you mentioned kind of taking into account macro realities. But what's the right level of kind of domestic growth as you kind of look over the next three to four years, assuming you can get the aircraft delivered?
Mike Leskinen: And for our growth rate in 2025, '26 and '27, you're going to have to wait for Investor Day later in the year. The 100 aircraft, we have the ability to fly some of our older aircraft longer. And given the delays from Boeing and Airbus, I would expect again, macro economy dependent that we would continue to fly our existing fleet until end of life when they're at heavy checks. But we always have the optionality. If yields are not strong to early retire some of those aircraft and it's an economic decision when an aircraft is late in its life to early retire some of those aircraft that are less fuel efficient and very heavy maintenance. So I think of that as flexibility we have in the event of a macro event. But if there is absent a macro event you should expect us to sweat our assets until end of life.
Savi Syth: And just a follow-up, Mike, to a comment you made earlier on -- I appreciate the 2Q unit cost color. But as you think about the year just high level, I'm wondering what are the kind of the year-over-year headwinds that might kind of step down from now or maybe step up? I know your capacity is moderating a little bit from the levels in the first half. But just curious, given that you have more time, are you able to address more of the fixed cost as you get into the second half?
Mike Leskinen: I would say you need to think about labor costs and when we lap and annualize some of those labor costs. So that would be the number one factor you should put into your model around differences quarter-to-quarter. Number two, the CASM ex impact of flying 40 less aircraft than we planned for this calendar year, you should expect those costs to linger. As we get into the back half and particularly in the fourth quarter, some of those costs begin to moderate, but you should think about Q2 and Q3, those costs continuing to weigh us down. Again, we will offset with the great operation we're running as we see completion factors move up we’ll offset partially. But those costs don't go away overnight. And I'll use this as an opportunity to also to talk about some longer term cost initiatives that we've started since I've taken over in the CFO seat. Number one, tech ops, there are significant opportunities for us to drive efficiency in our tech ops driving efficiencies in our supply chain by optimizing the volume of parts we purchase and improving the rates we pay for those parts. So we're undergoing a significant initiative there. I think the run rate you'll see from that initiative is more like 2025. We're also undergoing a significant procurement bottoms-up evaluation. We're going to go through waves going through different vendors to make sure we have best pricing in the industry. I think this is going to be in the fullness of time, measured $100 million-plus and cost efficiencies. Again, that's more like '25 and '26. But when I talk about unique United opportunities, I would put this in that category. And then finally, I'll highlight that we've got significant opportunities within our technology organization to help drive efficiencies throughout the full airline. But one that I'll highlight is moving a lot of our mainframe computing into the cloud, that's something that you don't save the cost of moving to the cloud until you shut the mainframe down. So many cases, we've moved 70%, 80%, 90% to the cloud, but we still have to maintain that mainframe with 10% or 20% of the systems on that mainframe. So there's a little taste. We'll give a lot more fulsome answer at our upcoming Investor Day.
Operator: Your next question comes from the line of Scott Group from Wolfe Research.
Scott Group: So that was sort of helpful color on back half CASM a little bit. Maybe just a similar thought on back half RASM, comps get easier. Is it fair to assume we see RASM accelerate in the back half of the year, is there any other puts and takes to be thinking about?
Andrew Nocella: Just at a really high level, I would say that the [cap is] up domestically, I think is rough as in probably Q2, but gets better in Q3 and particularly better in Q4 is our estimate based on what we look at. So I think that is a nice trajectory. Second, we added a considerable amount of Asia Pacific capacity middle to late last year. And so as we lap that capacity, so it's now fully spooled up, we expect the line to improve. And as we make capacity adjustments to unproductive capacity in that region, we also expect that's going to show some improvements. And that follows always through Q1 of next year. Latin America, the capacity picture has been particularly difficult for the first half of this year. As you all know, the second half looks, I think, very different. And so I'm optimistic that Latin is going to turn the quarter in Q3. Although Q2 is still a very -- [poor] results. And in Europe, I think we've really sharpened our pencil, we paused growth for the most part this year on purpose. And I'm particularly optimistic based on how we deploy capacity that Europe is going to look fine. So I'm not giving you the exact numbers, but that's how I look across the globe and see what's happening and think about positive or negative trajectory by region.
Scott Group: And then, Mike, I appreciate all your sort of comments on free cash flow. And I'd love maybe, Scott, to get your perspective on this discussion as well and maybe your thoughts on CapEx. Like if we wake up in six months and Boeing can start delivering a lot more planes again, could that -- in your mind, Scott, does that $7 billion to $9 billion go up again? Or maybe alternatively, is there something in your control that says, hey, maybe that $7 billion to $9 billion could come down even more?
Scott Kirby: I think the $7 billion to $9 billion is probably a pretty good number. And I think of it as we've ordered a lot of airlines more than anyone in history has ever done. And when you combine that with the supply chain challenges, as Mike described, is kind of a ballot, you have 40 airplanes that are supposed to be delivered in 2023, they got pushed to 2024 and none of them got delivered and then yet another 20 in 2023 got pushed and so now you have 60 in 2025. That also -- that wasn't just hard on the planning for us, it may things like our flight training center, really hard to run effectively, because constantly changing capacity plan, those are -- you're thinking about upgrading pilots and things like 18 month out decisions. So one of the things we attempted to do was level out the capacity, the aircraft deliveries, which we've done at approximately 100 per year. And so we'll have a lot -- at least a lot less variance, the standard deviation will be a lot less than it's been in the past. It's also kind of split 60-40 Boeing, Airbus, so there's a little more diversity in that number going forward. I don't think we'll take it out, but -- well, I know we're not planning to take it up because taking it up, drives things at the flight training center, just drives a lot of other complexities, this is just not worth it. I think the other thing that we will -- I know that we're going to do now and going forward is build a little hedge into or build a bigger hedge into our schedule. And like if we think we're going to take 100 airplanes this year, we're going to only put 90% or some lower number into the schedule. And if everything is on time and on plan, then we'll have a few extra spares around for a couple of months. That will cost a little bit but it doesn't cost nearly as much as overstaffing by 40 airplanes. And so I think it will give us not just certainty on CapEx, it will give us a lot more operational certainty for running everything better and more efficiently.
Operator: Your next question comes from the line of Helane Becker from Cowen.
Helane Becker: So I have two questions. I think, Andrew, you talked about the quality of your product and the network and the loyalty and so on in your answer to somebody's question. But when you think about some of your alliance partners, they don't have the same commitment to service and any of the things that you just talked about that you have. So as you think about alliances going forward, and maybe this is a question for Patrick. How do you think about getting everybody on board to the same standard that you're setting so that you don't distress your customers when they have to connect because you're not flying some place non-stop that they want to go aspirational or they let your customers down?
Andrew Nocella: I'll start off with that. I'm not sure I agree with the premise of your question. I think our core partners have the highest standards when I think about ANA and Air New Zealand, to name a few. And also think that Lufthansa has the higher standards, look, they've gone through a number of strikes recently, which has been think rough on Lufthansa, the team and the customers, but I think they're behind that now. And I think their commitment and all of our commitment to customer service is actually pretty consistent. And we're so proud to be in joint ventures with each of these airlines. And we sit around the tables, I'd like to say, without lawyers and we work through difficult problems, and we talk about how to make the level of customer service more and more seamless each quarter. That being said, we are from different countries and different cultures and we have different ways of approaching our business. And quite frankly, we think that some of those differences are really important. They reflect who each of these airlines are and their unique identity. So we don't -- we're not trying to harmonize across every single product detail on how we build alliances. But that being said, I do think we have a similar alignment of customer first and going forward. And we -- and I’ll also plug in, we have the best alliance partners with the best hubs around the globe, which is one of the reasons that we have the leading network, and I think we're more profitable in this global network relative to our primary competitors.
Helane Becker: And then just for my follow-up question, maybe Mike, as we think about the earnings guidance for the second quarter. How should we think about like the percentage corporate, leisure, domestic, international, are you starting to skew more corporate international in the next six months than you have in the past, or how should we think about that breakdown?
Mike Leskinen: I would just say that all of the above, domestic leisure has been really strong. And despite that historically being an area where we were less than -- we had less of a exposure than some of our peers, we've done an incredible job. Now business demand is clearly continuing to come back and that's wind in our sales from a relative perspective. So I think as we've said, it's been the theme of the call, the current results at United are very strong but the future is even brighter. So feel great about business continuing to drive our relative results.
Andrew Nocella: I'll add one incremental fact, Helane. The growth in Polaris load factors has been pretty significant year-over-year. And the growth in premium load factors across the board at United Airlines, our paid premium load factor was up 9 points year-over-year in the quarter, which is amazing. But as we revenue manage all of that, we kept all of the premium leisure passengers in their seats as we added more corporate into their seats. So we were able to do both. And that is one of the reasons for the great execution in the quarter is that we see corporate rebound in, but we see the desire for premium products by leisure customers continue to be strong.
Helane Becker: So is the answer then you're putting more premium seats, because if you have corporate demand for the same seats, you're pricing up to lose some, right? Don't you have to price that to lose some of that demand?
Andrew Nocella: What happened in this [indiscernible] case is during the pandemic, we had very high free load factors in some of these premium cabins, and that number is coming down more towards…
Operator: Your next question comes from the line of Brandon Oglenski from Barclays.
Brandon Oglenski: Mike, can you give us some insight on how you're planning for the cost structure in '25 through '27 just given the variability that you gave us on CapEx. And I know it's aspirational to get 100 deliveries every year, and Scott spoke to it as well, maybe you filter in some buffer here on spare aircraft. But how do you think about hiring, especially given that some of these training events might be an 18 month decision?
Mike Leskinen: I think by level loading, our aircraft delivery schedule and making skyline stable, we're going to be able to better match our flight attendant, we're going to be better match our pilot hiring. So that the inefficiencies that we're discussing right now around, again, the 40 less aircraft we have for this year, those inefficiencies will work themselves out. And so that's what's critical to this. But in addition to our overall cost structure, when we think about the inflationary world that we've been in, that pressure is going to -- the industry is going to continue to face that. But at United, we have the gauge benefit and that gauge benefit will be metered in a smooth way. So I feel very excited about that.
Brandon Oglenski: And maybe just a quick one for you, Mike. I know you guys had wanted to do an analyst meeting soon here, and that's going to get pushed back. But any strategic teasers you want to give us on MileagePlus, because I know it's been a focus of yours and the team?
Mike Leskinen: I will repeat what I've said in the past. MileagePlus, it's a crown jewel in the assets we have here at United Airlines. It was a critical source of collateral during the pandemic. But the dream is that it is recognized the value of that asset, the value of that business, especially as we grow it, is recognized in our equity market cap. It's not there today. You're going to see us continue to give more and more disclosure, more and more transparency to that business. You're going to see us share more and more details on the growth plans we have for the data in that business. And eventually, if we get no value in our market cap, we'll take more aggressive actions. I've been a consistent message on that and you'll hear even more at our Investor Day.
Operator: Thank you. We will now switch to the media portion of the call [Operator Instructions]. Our first question comes from the line of Mary Schlangenstein from Bloomberg.
Mary Schlangenstein: So I wanted to see if you could give a little bit more detail on the aircraft that were delayed from second quarter to third quarter as part of the FAA review, whether you can tell us what -- how many aircraft, what types of aircraft and specifically how the FAA resulted in the delays?
Scott Kirby: I'll try. I don't think we know for sure yet. I think we've got three airplanes that are coming in the next few months. They're MAX aircraft MAX-9s, three aircraft that are coming in the next few months, and we'll continue to work with the FAA on -- I'm going to change that. What we're mostly focused on, though, that's not what we are focused on. We are focused on figuring out everything I said in this call, how to use this -- embracing this process as an opportunity to get a new higher standard for safety. And as we go through that process, there will be some point along the way where we'll start taking aircraft deliveries again, but that is absolutely not our focus nor should it be our focus.
Mary Schlangenstein: They haven't -- the FAA hasn't prohibited any aircraft deliveries. Is that right? It's just the start of the use of some of those planes or is it actually the deliveries themselves?
Scott Kirby: It's putting -- it's not the delivery, it's putting them on the certificate.
Mary Schlangenstein: And you said it's just three for right now. And my second question was you all talked a lot about the corporate rebound and how that's playing out. But is there anything different that you expect to see in summer travel this season? Like it sounds like there might have been some geographic shifts for some areas that were strong last summer won't be as strong this summer? And do you expect the domestic market to be particularly strong this summer?
Andrew Nocella: As we head into the summer season, we expect strength across the board and in the United network tilt in terms of our best seasonality towards Q2 and Q3 and particularly across the Atlantic, across specific and TransCon within the United States. So we expect all of those entities to perform really strongly this year. And everything we have in terms of data right now, I would say that's where we stand.
Mary Schlangenstein: Do you expect to set another record for this summer for passenger numbers?
Andrew Nocella: Yes, I think we will, as an airline and as an industry.
Operator: Your next question comes from the line of Leslie Josephs from CNBC.
Leslie Josephs: Can you [Technical Difficulty] exactly what the FAA review prohibits you from doing? And is the change to the fleet plan from this year because of the Boeing delays in production and deliveries or because of the FAA review? And then on -- just a question on the mechanical issues lately. Have you had to update kind of procedures or anything else for your technicians so that those things don't happen, maybe things that were getting overlooked or not part of checklist prior?
Scott Kirby: First, the delivery delays are 100% of the issue. And the main focus has been less about changing the policies and processes, but really making sure that everyone keeps safety as a top of mind awareness. And spending a lot more time with the leadership team out talking about it, really making sure that safety is top of mind awareness. Now we, of course, will go through with the FAA and go through a pretty rigorous process and we continuously look at ways to improve safety across the board, and that's continuing. It's at an elevated level right now of looking for ideas but that's not something unique or new that is -- we have hundreds of people whose full time jobs are doing that day in and day out.
Leslie Josephs: And the review prevents you from putting new aircraft into service and then what else, is it captain upgrade, anything else?
Scott Kirby: No, that's not it. We can do captain upgrades.
Leslie Josephs: So it's just putting new aircraft into service?
Scott Kirby: That's the primary thing.
Leslie Josephs: When do you expect the review to conclude?
Scott Kirby: That's, again, the way we would think of this is about going through a process to make it better using this as an opportunity to create a new higher standard, and it will conclude when it concludes. We're not going to predict the time.
Operator: Thank you. I will now turn the call back over to Kristina Edwards for closing remarks.
Kristina Edwards: Thanks, Krista. And thanks for everyone joining our great call today. Please contact IR and Media Relations if you have any further questions, and we look forward to talking to you next quarter.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference, and you may now disconnect.